Operator: Ladies and gentlemen, thank you for holding, and welcome to the Wesfarmers 2025 Half Year Results Briefing. [Operator Instructions] This call is also being webcast live on the Wesfarmers website and can be accessed from the homepage of wesfarmers.com.au. I would now like to hand the call over to the Managing Director of Wesfarmers Limited, Mr. Rob Scott.
Rob Scott : Thanks very much. Well, good morning, and good afternoon, everyone, and welcome to our half year results briefing. So today, I'm joined by our divisional managing directors and our CFO, Anthony Gianotti. To begin, I'll talk to the group's performance and key highlights across the portfolio, and then Anthony will provide more detail on our financial performance. I'll conclude with some comments on the group's outlook. And Anthony, our divisional MDs, and I would then welcome any questions that you may have. So I'll start on Slide 4, which is a slide that you will be familiar with. The Wesfarmers' objective is to deliver a satisfactory return to shareholders, which we define as a top quartile total shareholder return over the long term. And we acknowledge that we can only achieve this if we anticipate the needs of our customers, look after our team, treat suppliers fairly and ethically, contribute positively to the communities in which we operate, take care of the environment and act with integrity and honesty. And this half has, once again, provided us with many opportunities to demonstrate progress in these areas, and you'll hear this throughout our presentation. So turning to Slide 5. And there are 3 points I'd like to highlight from today's results. First, our financial performance. It was pleasing to deliver growth in sales, earnings and dividends in what was a challenging trading environment with many households and B2B customers restricting their spending. We delivered net profit after tax of $1.5 billion, an increase of 2.9%. And as a result, the Board determined to pay a fully franked dividend of $0.95 per share, a 4.1% increase on the prior corresponding period. The second point is that this result demonstrates strong execution across the group's portfolio of businesses. Our divisions continued to benefit from their proactive productivity initiatives, and this enabled reinvestment in their customer offers, delivering even greater value, service and convenience for customers. And there's also been a lot of transformation and growth activity that will set our divisions up well for the future. It was particularly pleasing to see the group's largest divisions performing well with Bunnings and Kmart Group's strong value credentials continuing to resonate, driving growth in transactions, sales and earnings. The third point is I wanted to note that we undertook a number of portfolio actions to improve shareholder returns and renew the portfolio, and some of which I'll talk to shortly. This is another result that demonstrates the resilience of our portfolio of businesses and the capacity of our divisions to adapt and prosper in tough markets. I'm also confident that we're entering 2025 with our businesses in better shape to manage risks, but also to benefit from any improvement that may occur in economic activity. Turning to Slide 6. I won't step through every division in detail on this slide, but I'll describe a few highlights from the half and then Anthony can talk to some of the financial results. Bunnings demonstrated the resilience of its offer and it continued to grow sales and earnings despite challenging market conditions, particularly in residential construction. Kmart Group's result builds on the very strong performance delivered last year as they continue to drive greater efficiency and expand and improve their Anko product offer. This result also includes the integration of Kmart and Target systems and processes, which has simplified operations, and also the ongoing digitization of operations, global sourcing and supply chain functions. WesCEF delivered solid operating results for the half supported by the Chemicals business, and the Covalent JV continued to make good progress at the Kwinana lithium hydroxide refinery with construction 95% complete and commissioning 50% complete at the end of the half. In Health, we continued to invest in transformation activities and have been encouraged by the progress and performance of the Consumer segment, comprising Priceline, MediAesthetics and Digital Health that grew transactions, sales and earnings. Health result was impacted by the wholesale segment, which experienced higher supply chain costs with actions underway to improve efficiency. There were also one-off costs associated with an outsourcing of support functions in the Health division to ultimately support future growth of the group. OneDigital, which comprises our shared data asset, OneData and membership program, OnePass, continued to drive incremental sales for our retail and health divisions, leveraging the group's unique data and digital assets and omnichannel capabilities. And work is underway to develop a group retail media network, which will leverage the group's significant omnichannel audiences. Turning to Slide 7. This slide sets out some of the recent portfolio actions and demonstrates the group's financial disciplined and focus on shareholder returns. First, in December, we announced the sale of Coregas to a subsidiary of Nippon Sanso for $770 million. Now while this sale is subject to certain consents and approvals, it's a great example of our disciplined approach to portfolio management. The sale recognizes Coregas' strong growth in recent years and gives customers and team members the opportunity to join Nippon Sanso, a leading global industrial gas company. More recently, we announced the wind down of Catch, which includes the transfer of Catch's fulfillment centers to Kmart Group and digital -- some digital capabilities to our retail divisions. This decision will improve Wesfarmers earnings in FY '26 as we eliminate the business' losses. It will also strengthen our retail division's omnichannel offers and improve Kmart Group earnings. The move to next-day delivery for much of Kmart and Target's East Coast operations will be a great outcome for their customers. During the half, we also completed the divestment of WesCEF's LPG and LNG distribution businesses, which will improve WesCEF's financial returns. And we also completed incremental bolt-on acquisitions, expanding Officeworks' digital education offer and also supporting Health's digital strategy. Turning to Slide 8. During the half, we continued to deliver better outcomes for the environment, our people, our suppliers and the communities in which we operate. The group's TRIFR improved from 10.9 to 9.9 at the end of the half. This was largely driven by an improvement in Bunnings, where we're starting to see the results of a multiyear program to create a safer workplace. We continued to embed climate resiliency in our businesses, acknowledging its link with long-term value creation. And during the half, our divisions achieved a 2.5% reduction in Scope 1 and 2 emissions. And a source of pride for our teams is the $55 million of direct and indirect community contributions made during the half, supporting more than 8,000 community organizations across Australia and New Zealand. Now turning to Slide 9. You can see the summarized performance of the group, but I'll hand over to Anthony, who will talk in more detail to divisional performance and the group's balance sheet and cash flows.
Anthony Gianotti : Thanks, Rob, and hello, everyone. I'll start on Slide 11 in the presentation where we provided some further details on the sales performance across the group. I'll speak to sales and earnings performance for each of the divisions on the next slide. But at an overall level, we were pleased with our ability to deliver good sales growth in what was a challenging retail environment. This was particularly the case for our largest division, Bunnings and Kmart Group, which performed well as their everyday low prices, market-leading offers and strong execution drove growth in transactions and sales. Turning to Slide 12. At a total level, divisional earnings grew 4% for the half. And on a combined basis, Bunnings and Kmart Group increased earnings by 4.4%. Our retail businesses continued to execute well during the period, enabling them to deliver great value to customers and benefit from their continued investments in efficiency and productivity. Our retail divisions remained focused on keeping prices low and investing in the omnichannel customer experience. This supported growth in sales and allowed our businesses to mitigate cost headwinds and to fractionalize costs. I'll now step through the divisional results in a bit more detail. Firstly, in Bunnings. Sales growth of 3.1% was supported by growth in both consumer and commercial segments. Higher growth in the consumer segment was supported by sustained demand for repair and maintenance products, growth in digital sales and strong demand for new and expanded product ranges. Commercial sales growth was supported by higher demand from trades and organizations, which was partially offset by lower demand from builders where activity remains impacted by the subdued residential construction environment. During the half, Bunnings maintained its strong cost discipline and continue to invest in business improvement initiatives to support ongoing reinvestment in price and experience for customers. Overall, excluding the net impact of property contributions, Bunnings earnings increased 3.2% to $1.32 billion for the half. Kmart Group delivered earnings of $644 million for the half, an increase of 7.2%. This result is off the back of a significant increase in earnings in the prior corresponding period with the division reporting 36% growth on a 2-year basis. Kmart Group continued to benefit from its strong value credentials and unique Anko product offer which supported growth in units sold, transactions and customer numbers. Minor reductions in items per basket and average sell price in an inflationary environment demonstrated customers' focus on value and Kmart Group's commitment to low prices. Importantly, the earnings result was supported by the successful execution of long-standing productivity initiatives, including the integration of Target systems and processes, which helped mitigate cost pressures and the impact of a lower Australian dollar. In WesCEF, earnings increased 2.9% to $177 million, with higher earnings across all businesses, partially offset by the impact of losses from our lithium business, which remained in ramp-up during the half. Favorable ammonium nitrate recontracting outcomes and strong demand across the gold mining sector resulted in higher earnings in Chemicals despite the impact from lower global commodity prices. In Kleenheat, earnings benefited from a higher Saudi contract price, which was partially offset by higher WA natural gas costs. In fertilizers, earnings improved as a result of higher sales volumes with a strong end to the 2024 growing season. In lithium, WesCEF's sale of spodumene concentrate in the first half contributed a loss of $24 million. This loss reflected lower market pricing and higher unit cost of production as volumes from the concentrator continued to ramp up through the half. The reported loss also includes WesCEF's share of Covalent's corporate and overhead costs. In Officeworks, sales increased 4.7% and earnings increased 1.2% to $87 million for the half. The result was supported by above-market growth in technology and an increase in demand across key categories as Officeworks' everyday low prices and value resonated with customers. Pleasing sales growth to consumer customers concluding during the Black Friday period were partially offset by a softer sales growth to business customers. This is reflecting the challenging conditions affecting small- to medium-sized businesses. Earnings growth was also impacted by one-off costs associated with the acquisition of Box of Books and the closure of Circonomy as well as increased competitive intensity in technology categories. In Industrial and Safety, revenue declined 1.9%, reflecting the challenging economic conditions affecting customer demand, particularly across strategic customers in the mining and manufacturing sectors. Earnings decreased 8.2% to $45 million, and this result includes one-off restructuring costs of $7 million to reset the operating model and the cost base in both Blackwoods and Workwear Group with the benefits from these actions expected to be realized in the second half. The restructuring initiatives are expected to mitigate ongoing cost pressures and support sustainable earnings growth by leveraging the recent investment in new ERP systems across both Blackwoods and Workwear Group. Earnings, excluding the restructuring costs, increased 6.1% to $52 million. In Wesfarmers Health, we saw a continued focus on transformation activities to accelerate growth and improve returns. Earnings of $28 million included $4 million of restructuring costs as well as $9 million in noncash amortization expenses relating to business acquisitions. Excluding these costs, earnings increased 13.9% to $41 million, and we expect the restructuring costs incurred in the first half to be recovered within the remainder of the financial year. As Rob mentioned earlier, we were pleased with the performance of the Consumer segment. Priceline's strong performance was driven by strategic price reductions on key value lines, network expansion and the launch of new and exclusive brands. MediAesthetics performance improved from actions taken to optimize the network following the acquisition of SILK, including the closure of 34 unprofitable clinics over the last 12 months, the majority of which were Clear Skincare clinics. This stronger performance in Consumer was offset by the Pharmaceutical Wholesale segment which was impacted by higher supply chain costs during the half. This was primarily due to higher last-mile fulfillment costs impacted by inflationary pressures and the renewal of recent freight contracts. Wholesale has a supply chain cost out program underway and is expected to benefit from investments to optimize the network including from the recently constructed fully automated fulfillment center in Brisbane and the construction of a new DC in Cairns. Catch reported a loss of $39 million for the half, which was in line with the preliminary half year earnings result which we announced in January. Catch will cease to trade in the fourth quarter of the 2025 financial year with one-off costs associated with the wind down and transition expected to be between $50 million and $60 million. These costs will be incurred in the second half of this financial year and do not include the operating losses from Catch as the business continues to trade through the second half. Turning now to Slide 13 on other businesses. Our other businesses and corporate overheads reported a loss of $88 million, which was a $7 million improvement on the prior half. The key driver was the impact of upward property revaluations in the Bunnings Warehouse Property Trust with the contribution from BWP increasing from $13 million in the prior half to $35 million. Group overheads were broadly in line with the prior corresponding period, while other corporate earnings were lower driven by a lower group insurance result. Finally, we continue to develop capabilities in OneDigital, including the OnePass membership program and the group shared data asset with a net investment for the half of $30 million. OnePass member numbers and retention rates continue to increase through the half with OnePass members shopping more frequently and spending more across the group's brands after joining the program. As previously mentioned, the benefits of incremental sales from OnePass member spend and improved personalization are reflected within the retail division sales and earnings. Turning to working capital and cash flow on Slide 14. Overall, the working capital and cash flow position remained strong during the half with cash realization across our retail businesses of 113%. Despite the strong performance in cash realization, divisional operating cash flows decreased 6.3%, primarily as a result of cycling a significant increase in cash flows in the prior half, which benefited from normalization in WesCEF's net working capital in its fertilizer business. The half -- in this half, the divisional cash flow result reflected net working capital investment in Bunnings to support higher customer demand and in WesCEF to support the upcoming fertilizers growing season. At a group level, operating cash flows decreased 11.1% to $2.6 billion due to the lower cash flow from divisions and higher tax paid during the half. Overall, we're comfortable with the inventory health across the group with good stock availability across all of our retail businesses and improved stock turn in Bunnings, Officeworks and Health compared to the prior corresponding period. Free cash flows for the half were $2 billion, in line with the prior corresponding period as lower operating cash flows were partially offset by the acquisitions of SILK and InstantScripts in the first half of the 2024 financial year. Moving now to capital expenditure on Slide 15. The group invested gross CapEx of $594 million during the half, which was 2.9% higher than the prior corresponding period. This was driven by new store and expansion projects in Bunnings, partially offset by reduced spend in WesCEF following the completion of commissioning activities at the Mt Holland concentrator in the 2024 financial year. Proceeds from the sale of PP&E increased for the period, reflecting higher property activity at Bunnings. As a result, net capital expenditure for the half declined slightly to $555 million. For the full year, we do expect net capital expenditure for the group to be in the range of $1.1 billion to $1.3 billion, which is in line with our previous guidance. Turning to balance sheet and debt management on Slide 16. The strength of our balance sheet continues to provide the group with significant flexibility and capacity to support investment in growth initiatives. Net financial debt decreased by $400 million over the half, and the group's cost of funds of 3.92% were broadly in line with the position at the 30th of June. Our debt maturity profile improved slightly during the half with a weighted average term to maturity of 4.6 years. Our other finance costs, including capitalized interest, increased 3.2% to $97 million. Our key credit metrics improved during the half, and the group maintains considerable debt headroom within our targeted rating band. At the end of the half, the group had available unused bank financing facilities of around $1.1 billion. And finally, to dividends on Slide 17. As Rob has already mentioned, the Board has determined to pay a fully franked interim dividend of $0.95 per share. And this is consistent with our dividend policy which considers available franking credits, balance sheet position, credit metrics and our cash flow generation. In line with what we've done in recent practice, the group does intend to purchase shares on market to satisfy any shares that will be issued as part of the group's dividend investment plan. And with that, I'll now hand back to Rob to cover outlook.
Rob Scott : Thanks, Anthony. And turning to Slide 19. Before covering our outlook, I wanted to comment on the positioning of the group's portfolio. We have high-quality businesses that provide us with a platform for long-term value creation. Our retail divisions have market-leading positions, strong value credentials and broad customer appeal. WesCEF has strategic manufacturing capabilities, supporting customers in large critical industries, including in iron ore, gold and agriculture. Our businesses will continue to drive growth by expanding addressable markets and executing productivity and efficiency initiatives. And the group also has exposure to new and growing earnings streams linked to the demand for lithium hydroxide and the health sector and also new strategies such as in retail media. Finally, the strength of the group's balance sheet, as Anthony said, creates optionality to deploy capital across our portfolio and taking advantage of opportunities that might arise. So turning to the group outlook on Slide 20. Wesfarmers remains focused on generating top quartile TSR over the long term, and we continue to invest to strengthen our current divisions and develop platforms for future growth. Australian consumer demand remains supported by strong employment and continued population growth, but higher costs remain a challenge for many households and businesses. Cost of living and cost of doing business pressures are expected to continue despite the recent modest easing of interest rates. While this drop in interest rates will provide some relief for many households and businesses, we think it will take time to stimulate demand for additional demand and investment. Weak domestic productivity and geopolitical developments add uncertainty to the economic outlook and broader market conditions. Now our divisions are well positioned to mitigate these impacts, continuing to focus on executing productivity initiatives including investments in technology to digitize their operations. The group's retail businesses are expected to benefit from their strong value credentials and expanding addressable markets. Bunnings, Kmart and Officeworks will retain their focus on enhancing the customer experience and delivering even greater value, service and convenience for customers. For the first 6 weeks of the second half of this financial year, Bunnings and Officeworks maintained solid sales momentum with sales growth broadly in line with the first half. And Kmart Group sales growth was stronger compared to the first half, supported by its unique Anko product offer. Now obviously, the value of Wesfarmers is underpinned by the quality and performance of our larger divisions, and we remain confident of their growth prospects in the years ahead. And consistent with our long-term focus, we're also optimistic for our new and developing businesses that have a minimal contribution to earnings at the moment but represent significant potential over the next 3 to 5 years. And this includes our health division, our lithium joint venture and retail media opportunity. Along with our joint venture partner, SQM, Wesfarmers remains focused on the development of the Covalent Lithium project, which includes an integrated lithium mine concentrator and refinery. First product from the hydroxide refinery is expected mid-calendar year 2025, in line with prior guidance with production to ramp up over the following 18 months. In parallel with ramp-up, product qualification with contracted customers will also commence which could take up to 9 months. We purposefully retain balance sheet flexibility and we'll continue to improve the portfolio through our disciplined approach to capital allocation in our existing businesses and with new growth opportunities. Before we open for questions, I would like to take a moment to recognize Ian Bailey. This will be Ian's last results briefing as Managing Director of the Kmart Group as he retires from the position in April to be succeeded by Alex Spaseska. Over many years, Ian has made an outstanding contribution to the transformation and growth of Kmart, which is now a world-class product development company and a trusted Australian brand. We thank Ian and are pleased that he will remain with Wesfarmers serving as the Chairman of Anko Global and supporting a smooth leadership transition. With that, we're now very happy to take your questions.
Operator: [Operator Instructions] Your first question comes from Michael Simotas with Jefferies.
Michael Simotas : My question just relates to balancing the outlook for costs as well as the productivity initiatives and benefits that you've got in the pipeline. So how do you see costs in the next 6 to 12 months based on what we've seen recently, and I guess it makes sense to look at COGS and CODB combined. And then on the other side of the equation, do you think you can continue to offset the cost pressures that you've got with productivity like you have over the last 12 or 18 months?
Rob Scott : Michael, I might -- Rob here, I'll make some opening remarks. I might hand over initially to Mike and Ian just to provide a bit of context from their businesses given the importance of their businesses. I'd say that all of our divisions have demonstrated in recent years a lot of capacity to drive continuous improvement in productivity. And we are finding that there are more opportunities that are available to drive productivity given the new technology solutions that we have available and also better leveraging our data insights. They have been key drivers. So I think we have a very strong capability across our businesses around that. Although we've made good progress in recent years, there's still a lot to go after. So I think that -- I think that's an important consideration. The other thing is that despite what you might interpret as some cautionary comments about cost pressures and inflation, the reality is that inflation is improving. So we should recognize that inflation last year was very high in relative terms, and it is improving. We called out the Aussie dollar impact. Now we've talked about that many times over the years, and I think we have demonstrated our capacity, particularly in businesses such as Kmart and Bunnings to manage the effects of changes in currency better than most. But I might initially let Mike talk to that and then Ian can provide more detail.
Michael Schneider : Thanks, Rob. Michael, to answer the question, can we offset? Absolutely. We've got very strong productivity initiatives right across the board at Bunnings, which are around making our stores simpler to operate investments in fulfillment, so our Laverton North fulfillment center in Victoria and a new one to be opened in Wacol in Queensland, strip some cost out of supply chain and last-mile delivery and even our investment into our own team members running deliveries gives us a much better sort of returns profile. And from a COGS point of view, there's inflation and deflation that sort of runs through the different departments. When you think about Bunnings, there's so many different categories with different exposure to domestic and global markets. So you sort of see that move around a little bit. But there's definitely upward pressure on costs through things like energy, workers' compensation, some transport costs as well. So it is a balancing act, but we've got very disciplined programs right across the business. Our operations team have stripped tens of thousands of hours of unnecessary task out so that we can, as Anthony said earlier, invests more in the experience for our customers. But that balancing act will continue. But yes, I'm very confident that we've got the balance right to continue to make the business easier to run and much more productive to deliver that better return for customers.
Ian Bailey : Thanks, Mike. And Michael, just a couple of additional comments from me, so I don't repeat what Rob and Mike have already said. I think we've got bit more used to managing inflation in the cost base over the last couple of years. So when we came out of COVID, it was a new thing. And I guess we haven't had that experience for quite some time. I think we've got a lot more experience of it now. So we're much more used to adjusting our prices both up and down so that we give the best value to consumers, and we're always going to make sure that we price our products super competitively in the market. So I'd say that piece is there and we understand that probably to a greater extent in an inflationary environment than we did before. And then we're going to continue to work on productivity to help us offset as much as we can. But I'd say as you look in the outlook, sometimes we'll be able to do that really well. Other times, we won't have to move prices. If that's what happens if something like the exchange rate stays as low as it is for an extended period that, that will obviously have to flow through into cost of goods at some point.
Operator: Your next question comes from Tom Kierath with Barrenjoey.
Tom Kierath : I just got one on CapEx. It's been kind of low for a while now, especially when I exclude the investment you made in Covalent. I suppose 2 ways to look at it. One is the businesses aren't as capital intensive as they used to be? Or the second one is that you just don't have the, I guess, the opportunities for growth and hence, you're pulling back on the investment there. So I'd just be interested in your comments on how you're looking at the CapEx side.
Anthony Gianotti : Yes. Thanks, Tom. Yes, look, I think there's clearly been a lot of one-off projects in CapEx over the last couple of years. But there certainly hasn't been a meaningful pullback in CapEx across other businesses. And of course, there's a lot in there. There's businesses have come and gone through that period. And if you look at -- and a good example, I guess, is in Bunnings at the moment, you'll see the CapEx numbers up quite a bit on the previous half. As we've talked about a lot in Bunnings, the property activity will be very irregular. So there'll be periods when there's a lot greater level of investment where there's more property activity. Obviously, COVID slowed some of that product that -- sorry, the rollout of stores. And Mike will talk in a bit more detail about what's coming in the next sort of 6 to 12 months in relation to that. So I don't think there's -- our capital intensity hasn't changed. There will always be periods where there's a bit further investment in things like supply chain. And we've continued to invest in supply chain across all of our businesses. And we've talked about -- Mike has talked about the rollout of Wacol, which will happen over time. We've talked about the rollout of new DCs in Health. So we're continuing to make investments in CapEx. So I think we do have pretty businesses a little bit more efficient around how we invest capital, but there's certainly no shortage of opportunities to continue to invest.
Rob Scott : I think -- Tom, Rob here. The other element to investment is a very significant part of the investment that's going on around technology and digital doesn't show up in the CapEx line because nowadays, a lot of that cost is OpEx related through Software as a Service and so forth. So yes, if I just take data and digital, we looked at this the other day, we've invested, excluding the investments in Catch, we've invested over $2 billion across the group in data and digital-related activities. Now a lot of that is flowing through the P&L. In fact, only a smaller portion of it has actually hit the CapEx line. So I think it's also important to recognize that element of investment in the group.
Tom Kierath : Is it a way to quantify that impact on the P&L or the margins because the margins for most of the businesses are still very healthy and kind of above or well above where they were pre-COVID. I'd just be interested in any quantification around that?
Rob Scott : Look, ultimately, you just look -- you just need to look at the ultimate earnings, right? Look, we are very -- whether we're investing in new stores, DCs or technology, we expect a return. That's how we think about it. So ultimately, the best judge of: Are we getting a return on all of this investment, is an enabling growth. You'll see that in our sales line and our profit line and the return on capital.
Operator: Your next question comes from Shaun Cousins with UBS.
Shaun Cousins : From Sydney. Maybe just for Ian. In Kmart Group, what drove the margin expansion in division? And you've called out a couple of factors. There's strong apparel mix to Anko. I assume that is adding Anko into Target more into the most material there, Target getting better and then productivity, which we've discussed there. I guess one of the questions we have seen -- or we have is that we've seen increased promotional intensity across apparel, general merchandise retail that may have required Kmart to reinvest more of its cost savings and hence maybe did not expand margins. I'm just curious, did you notice that more competitive environment? And maybe more generally, just going back to some of those margin expansion drivers in the period, please?
Ian Bailey : Yes. Thanks, Shaun. I think you covered a lot of them. So obviously, you covered off the apparel, the move of Anko into Target, which is only about 25% of the product offer, but at a healthier margin than the products that we used to have there. So that helps. Of course, we look at margin in the entire P&L. And the other driver, which we didn't cover off was the fact we brought the 2 businesses together as 1 operating model, and that's enabled us to be more efficient as an overall operation and drop our cost base because of that activity. So that's also helped drive our margins.
Shaun Cousins : And did you see heightened competition in the market? In terms of one of the themes, I think, of the first half '24 result when you had a dramatic amount of margin expansion, you probably were able to retain more of the cost savings that you generated. Did you have to redeploy more of it in this period?
Ian Bailey : Yes. It is -- it was a very competitive half. And I'd say we're anticipating that will continue. I mean I think despite interest rates falling by a few basis points, most customers are still finding it pretty tough out there. So value is really important. And I think all retailers are trying to figure out how they respond to that. We're always going to try for that lowest price and maintain that lowest price position. You'll see that we called out within the result that we had a slight reduction in our average sell price during the half, which was because we decided to invest in price and maintain that leadership -- that leadership place. But clearly, we had enough in the tank in terms of productivity and efficiency that we could manage that.
Operator: The next question comes from David Errington with Bank of America.
David Errington : I'd like to delve a little bit into WesCEF, if I may, try to understand a few things. The first question -- there's a few couple of parts. I'm trying to again, the ammonium nitrate renegotiated contracts. If you could -- if Aaron could say, what percentage of the contracts were renegotiated? And would that mean then that we expect or can expect further upside potential in that? And the second part of my question is in lithium. And I don't think it's too an unreasonable question to ask, Rob. I know there's commercial sensitivities, blah, blah, blah. But the current hydroxide price is USD 9,300 a tonne. Would your operation be profitable at that price if the current spot price were to retain? And I'd like your reaction to what Kent Masters said in the weekend press, which really did concern me when he made the comment at a markets conference, Kent Masters, the CEO of Albermale. He said that they believe that Western Australia does not have the chemical processing capability needed to build or operate a plant of technical proficiency that is required. In other words, they believe that it's going to be too difficult to build a hydroxide facility to operate it because Western Australia doesn't have the technical capabilities. I'd really like you to answer that because that worried me a lot because that concerns me that if you guys can't get your hydroxide plant right, there could be a big hole punch through Wesfarmers. So that's where my question is coming from. So if you could address those issues, that would really be appreciated.
Aaron Hood : Okay. Thanks, David. It's Aaron here. Just -- so we've got 3 questions there. I'll just start with the ammonium nitrate one. As you can imagine, over the last -- I think we've flagged at these briefings over 3 to 5 years that market was in a state of oversupply for a period, and that's obviously been tightening up in Western Australia as the Pilbara, in particular, the iron ore mines have been increasing production. We've entered a phase in the last year or so where the market has got closer to balance. And when you look at our peers in the ammonium nitrate space in Australia, they've all made comments around pricing improving as they -- as contracts rolled and were recontracted. The same thing occurred for us over here, and we're benefiting from that. A lot of those contracts obviously can't go into the specifics of the individual contracts, but they are typically 3- to 5-year kind of rolling agreements. I think the benefit that we've called out in this result, I wouldn't then start going and annualizing that again and again as we roll forward. I think those benefits will remain in our earnings, but we're starting to cycle the benefits of those existing in prior periods. I'll just turn to lithium hydroxide, if that's okay. On that topic...
David Errington : I didn't quite follow you on that, Aaron, if you got 3 to 5 years. So like what percentage of the contracts would have been renegotiated in this little period?
Aaron Hood : It's actually been a period over the last year or so that those contracts have been renegotiated, David. What I'm saying is when you look at the half year result now where we've called it out, I wouldn't go and annualize that for a full 12 months because we've already seen the benefit of that over a rolling 12-month period now. Just moving on to hydroxide and really your comments around where pricing is at the moment. I think it's important to look at the time line of the project. So we're still committed. As we've outlined here, that mid-calendar 2025, we expect to hit first product. Commissioning is going well on the plant. But we do expect it's going to take upward of 18 months to that ramp facility up. And that's no different to really what the experience we've seen, at least on the concentrator side, out at the mine site that it will take that period. Clearly, once you move from that critical date for us to prove first product and then get to a full ramp-up period, you're going to get the fractionalization benefits of those increased volumes to the cost. So I think we've flagged before that clearly in the early phase of the lithium hydroxide project coming online, they're not going to be our long-run target cost per tonne production. We do have -- you mentioned that today's spot price, I think it's important, we've flagged before that we do have benefits, like many, many players in the lithium industry when selling to Tier 1 customers, there are pricing mechanisms and structures in those agreements where we're not necessarily facing into the spot price. So that's also another important distinction. But I think when we look at the project alongside SQM, when we see the long-run cost position of our vertically integrated operations -- so you need to remember, we're obviously procuring spodumene from the mine gate ourselves. We're avoiding all of the transport costs that Chinese refiners, et cetera, have to deal with. When you look at that vertically integrated operation, once we hit full production run rates and get to fractionalize that cost, we still think it's a viable and beneficial project for Wesfarmers.
Rob Scott : Sorry, David, Rob here. Just to answer your final question around the -- our capacity to actually develop and operate successfully a refinery in Western Australia. Look, as you'd imagine, before we made this investment, we asked ourselves the same question, and it was a real benefit of partnering with SQM. So someone with SQM's international expertise and expertise in processing that provided a level of technical knowledge and experience that complemented the very significant capabilities that Aaron and his team have in developing and operating major chemical facilities in Western Australia. So look, at the end of the day, time will tell, and we'll be able to answer your question a lot more precisely in 12 to 18 months' time. But so far, at least, the team in Covalent have done an exceptional job of developing a project in a highly inflationary environment in line with budget. Commissioning of the refinery is, I think, as of this week, about 64% complete. So far, so good. But obviously, the next 6 months are critical. And we feel that we have adequate experience, capability, together with our team at SQM, to commission this and run it successfully. We also benefit from the fact that we committed a lot of this CapEx before the inflationary cycle really started to hit. Probably it's stating the obvious, but to try and build what we are building, if you try to start today, it would cost a hell of a lot more than what it cost us when we started this process a number of years ago. So we're cautiously optimistic about capacity, but at the end of the day, time will tell in the next 6 to 12 months.
Operator: Your next question comes from Lisa Deng with Goldman Sachs.
Lisa Deng : I wanted to ask a question on Health. So even though it's not exactly the largest contributor to profit, it's actually now the third largest revenue contributor. I think, 13% of revenue and actually the second highest growth in terms of revenue for the half at 9%. So what I wanted to ask is it's been 3 years since the acquisition. Like has it surprised you in how long it's taken to basically reposition the business? And are we past the hardest lifting parts of what we need to do to that in order to start seeing the returns come through because it is an important part of that growth driver, especially revenue.
Emily Amos : Lisa, thank you. It's Emily here. I think we're always pretty clear that it was a multiyear transformation journey. What we're really pleased is -- about is how our consumer businesses are performing. That is a key part of the earnings growth driver into the future. Right across all of our Consumer businesses, we have seen really pleasing uplifts in the half, and we're happy with how that's coming together. We are, I think, disappointed at the earnings uplift in this half due to some one-off supply chain costs, as Anthony called out, but we are positive around the trajectory for the future and increasing earnings over time. And I think Rob also called out the investments that we're making in the half. We also took -- had some restructuring costs because fundamentally, we're really trying to restructure the cost base of this business. And sometimes things take slightly longer than you'd hope for. And I think we're currently in that position, but we are feeling very positive about our ability to continue to build the earnings profile over time.
Lisa Deng : Are we seeing the hardest part or the highest restructuring costs are kind of behind us and going forward, we're looking at incremental improvements?
Emily Amos : I think it's hard to say precisely the point that we're at. We're going to continue to make investments to deliver increased earnings growth into the future. We are continuing to invest in our network strategy, which is a combination of CapEx and OpEx. And that's really the point in the journey that we're at.
Operator: Your next question comes from Bryan Raymond with JPMorgan.
Bryan Raymond : Just on Kmart margins to follow up there from some of the earlier questions. The impact of -- that you've seen over the last few years, particularly FY '24 and now first half '25 from some of those efficiency programs. You've outlined a lot of those already. I won't run through them all. Is -- are they fully in the base now? Or is that something that we should expect ongoing uplift from -- on a year-on-year basis? And then just the second part of the question is the Catch fulfillment centers for Kmart, just how that impacts online unit economics for Kmart, given you've got -- it looks like about $1 billion of sales coming through in FY '25 from online, how much that can get fulfilled through the Catch fulfillment centers? What's the sort of benefit that you might see from that? Just be interested in future margin opportunities that you might have in Kmart.
Ian Bailey : Yes. Thanks, Bryan. There are some things which are now coming into our base. So the -- bringing the 2 businesses together, clearly, that's a benefit that we get into the base, and then that's there going forward. So broadly speaking, that's pretty close to being complete. When you look at the work we've been doing on digitization and improving our processes, that's ongoing. So whilst we have extracted benefit and value, we see more benefit and value to be extracted, but of course, we still sit in that inflationary environment. So that's the counterbalance, which I think you've got to sort of factor in as well. But yes, I wouldn't say we're at the end of the road on productivity. But certainly, some of those things are now in the base. When you look at the unit economics of online, we've been picking from stores for a large number of years. And as the business has got bigger and bigger, we've gone the point -- gone past the point of efficiency to the point of inefficiency with in-store picking, which is why the central facilities now makes sense to us and it improves our unit economics. Clearly, we've got to get those facilities up and running with us later on in this half. So we'll start getting those benefits in next year, not this year in terms of financial year. And that will really be able to help us distribute to customers in Victoria and New South Wales primarily. So clearly, the 2 biggest markets. And it will be the majority of deliveries in those markets will come out of those locations. I should say that's home delivery and not Click & Collect. We'll still pick Click & Collect within our stores. And that $1 billion odd number that you quoted includes Click & Collect as well as home delivery.
Operator: Your next question comes from Adrian Lemme with Citi.
Adrian Lemme : Look, it's probably a question for Mike. Congrats on the solid results in Bunnings. Obviously, you're happy with how consumers going. I was just interested with the -- how favorable you found the weather over the summer period? I mean my observation would be it was quite dry and nice weather, at least on the East Coast of Australia. If you got any insights there. I mean I've noticed that in my local store, there hasn't been much clearance of like seasonal product like outdoor furniture, for example, if I compare it to last year.
Michael Schneider : Yes. Thanks, Adrian. The weather in certain markets was quite good. And I think we've talked about weather over the years, and I think you've sort of got to take the good with the bad over time. So we don't place enormous amount of emphasis on that. I think what you saw, particularly in the sort of outdoor and barbecue categories, was a real shift in capability in the team and the new ranges and the quality of those products, our ability to source better really gave customers an opportunity to sort of buy something different, new and quite differentiated but at an incredible, incredible price, which means that as we've sort of gone through the season, customers have responded well to that. And we've done the hard work sort of June, July 2024 to sort of work on clearing. What was ranges that were at the end of their sort of useful life? And I think I've said this before, but the types of categories in which we play, we tend to sort of see the trends sit pretty consistently over sort of 2 or 3 seasons. So there is also no need at this point in time to be looking to sort of clear the current inventory because that will sort of broadly carry through into the 2025 summer and into the start of 2026. So that's been pretty clean. And I think that -- the thing that's sort of important to reflect on, particularly inside the result is unit growth. So whilst we're pleased with top line sales, the volumes of inventory and the volumes of stock that we all put through the business, the response to Black Friday, Halloween and festive were all really, really good. And I think combined with a strong spring in many markets, we're able to really move a significant amount of product and not need to deal with any clearance activity and that's left us pretty clean going into the second half as well.
Adrian Lemme : That's very helpful, Mike. Could I just ask a follow-up there just in terms of the volumes there? Like clearly, you've done so well in cleaning and pets. I imagine that's kind of helping that story. In those 2 categories, do you think now it's getting harder now to build those volumes up? Or do you think there's still a long growth runway in those 2 categories?
Michael Schneider : Well, I think as long as your value credentials are strong, you earn the right to be chosen, and I think that's what we've always tried to do rather than sort of scatter gun the sort of range. We're very disciplined in our ranging architecture, different categories. We're participating in more the introduction of automotive, the expansion of our tool shops, they're all driving really pleasing stories in terms of return on space and stock turn and improvement in sort of gross margin return on space, which is the main inventory productivity measure that we use at Bunnings. So I think across the board, we've sort of seen really sort of solid activity. But they do drive some traffic to store, but the core categories of outdoor, tools, paint, all of these categories have continued to sort of grow and evolve and innovate. And I think when we're together for the operational briefing day, one of the things we want to clearly illustrate is that it's great to bring some new categories in, but there's actually a genuine and deep transformation in existing categories, which is going to continue to drive growth because it's bringing innovation to the market, and that's what customers really value alongside the value credentials that we have.
Operator: Your next question comes from Caleb Wheatley with Macquarie.
Caleb Wheatley : My question is back on Kmart Group and the Anko brand. So you called out strong pipeline opportunities with some of the major global retailers. Can you just talk in a bit more detail about what Anko or the broader Kmart Group might start to look like as these opportunities are pursued. Does Kmart start to become a bit more of a wholesaler in that sense? I know that you're trialing some offshore direct retail stores in Anko as well. But how should we think about Anko expansion in the context of Kmart Group?
Ian Bailey : Yes. Thank you. I think first up, we're always going to focus on Australia and New Zealand to make sure we keep growing our core business in those 2 markets because it's obviously the vast majority of the business that we have today and super important. And Anko is clearly a critical component that drives the ongoing success of those businesses. So the first thing is we wouldn't take our eye off that as a core focus. But equally, yes, we started that process now of taking our products into new markets. We've said in -- particularly in Europe and North America, we want to go to market as a wholesaler, working in partnership with some of the large retailers, and we're doing that both as a product brand as Anko itself, and we're also doing it supporting other brands such as Mattel and Fisher-Price and wooden toys, which we've been doing for some time. And we see those as -- we still see those as good opportunities for the future. When we look at Asia, we'd rather go direct, and that's what we're doing in the Philippines is opening stores with a partner in that market because we believe there's a better opportunity to create value in those markets by creating our own retail footprint. So what would our business look like in the future? We should see an increasingly large business, both from wholesale and ideally from physical stores in Asia. But as we've called out, super early days for that business. The numbers in the current results are completely immaterial. And at the moment, it's an intent and a plan, and we've now got to turn it into reality.
Caleb Wheatley : And I guess as you pursue that more and more if there is traction with some of those offshore wholesaling opportunities like in terms of capacity and production of Anko categories or products to go and meet that wholesaling demand. Is there much more investment or work required to get factories up to facilitate that? Or how should we think about that part of the process?
Ian Bailey : Yes, we're learning a lot already on that and some of the initial orders that we've had with some of our partners are pretty material. So in some cases, the same volumes as we're already producing in some cases, ahead of that. We have a very mature supply base. We do not run to 100% capacity within those suppliers. So we have a lot of ability to expand within our existing supply base. And we have an excellent team spread throughout Asia who can find new sources, new factories for us if we need additional capacity. So it's something that's very much on our mind. And if we saw a rapid scaling would put us under a bit more pressure, but I think we've got the skills and resources in place to manage that.
Operator: Your next question comes from Craig Woolford with MST Marquee.
Craig Woolford : I think I'll ask a question around the lithium part of your business, and it's more of a fundamental as opposed to this result. Just interested in understanding the industry settings. As you're going forward, you're about to commission the lithium hydroxide. So if you think about the supply and what the cost curve looks like and the demand outlook. Are all those things still within your business case? And how could that impact the medium-term return on capital you might achieve in Covalent?
Aaron Hood : Yes. Thanks. I think just when you look at the industry side of things, our investment case was very much predicated on not making predictions on long-run prices and really benchmarking starting with the core asset in Mt Holland and understanding where that would sit on the cost curve. I think since the time we've invested in Mt Holland and made the acquisition, there's clearly been new discoveries and new entrants into the global supply chain for lithium. But when we benchmark the mine and have a look at what's likely to come into the supply over the -- towards the end of the decade, Mt Holland is still very competitive from a grade, tonnage and just where -- logistically, where it's located here to be able to feed the refinery in Kwinana, still places it in a good position on the cost curve, and that hasn't really changed. So I think the fundamentals behind the original purchase and where it sits in the industry is still valid. I think when we look at overall demand for lithium chemical, we're still confident that you need many more Mt Holland or brine assets around the world to come into the supply chain to meet a base case forecast of the increase in demand. There's been some upside, I think, in energy storage and larger scale batteries that we probably didn't factor into our view. So I think the premise around having a vertically integrated operation is the other key difference between us and many of the other at least Australian producers in the lithium industry is to be able to supply from the mine gate at cost, the chemical refinery in Kwinana and then take that product as one of the few, I suppose, non-China supply chain players in the industry to sell into Tier 1 battery customers of the world. That thesis is still valid. And I think what is -- what is going to serve Wesfarmers shareholders well in the long term.
Craig Woolford : Thanks, Aaron. So I think just to be clear, you're saying most of the, I guess, advantage on the -- where you sit on the cost curve is a function of the Mt Holland mine. How do you see the refinery fitting within that overall position on the cost curve?
Aaron Hood : Yes. I think, look, with any commodity conversion business you do need to start with a high-quality resource upstream. And we've spoken around -- I've talked about the quality of Mt Holland. I do think that is a fundamental point, however. When you look at the refinery, I think the challenges on building a refinery in a place like Western Australia versus Asia is probably more on the CapEx side of things. So that's clearly -- and I think Rob spoke earlier around inflation and what we've dealt with on that side of things. That's clearly an element that makes building these kind of operations more challenging here versus other locations. But when you look at the OpEx side of things, there are significant benefits in being out to feed a refinery from a wholly owned West Australian mine rather than having to transport spodumene over large distances from Australia to China, et cetera. So there's wins and losses on the OpEx side, but I think it's -- that's probably more of a CapEx argument that you're discussing.
Operator: Your next question comes from Ben Gilbert with Jarden.
Ben Gilbert : Could you give us any idea around -- I appreciate there's a few businesses with growth, but how big you think it is today when you look at it ? And the reason I ask, look at your comps, you've got Woolies and Chem Warehouse over 500, Coles probably pushing 200, Amazon pushing 200, and a bunch of others I'm talking to also coming in. Just where do you sit today? And are you going to give us, disclose around that moving forward given you said it's going to be a material driver? And do you think you can get to $0.5 billion, say, within the next few years at a 30%, 40% margin?
Rob Scott : Ben, I'll just touch on this. Look, we're already doing -- our retail businesses, health business is already doing a bit of retail media business at the moment. I'd say it's -- it'd be significant if you added it all up, but it's not significant enough for us to be calling out specifically at the moment. The types of numbers that you mentioned are certainly the opportunity that we would see over the longer term. And there's no reason why when you look at the size of our digital audiences, the quality of the brands and the -- both the in-store and the digital platforms that we have, there's no reason why we couldn't realize that type of opportunity. But as I said, that's a medium, longer-term opportunity. Look, I wouldn't -- we're unlikely to be disclosing giving you like a 6 monthly run rate over the next year or so, exactly what the numbers are. But what we will do is -- Nicole might -- I'll let Nicole just talk at a broader level about how we're thinking about it, but we'll talk in more specifics at the Strategy Day on the opportunity.
Nicole Sheffield : Yes. Thanks, Rob. Look, Ben, we're well positioned given our scale and uniqueness and the fact that we do have 12 million customers in our shared data assets. So that's rich first-party data. It's across all life stages. They have a propensity to spend. So working together as a group, I think, is really important. We're really at the stage now where we're looking at building out that single tech platform that is multi-tenanted that actually gives us the opportunity to look at closed-loop reporting and going out with the divisions and meeting with their suppliers and their customers and understanding the importance of that. I think has been critical in the last phase. But as Rob said, we do believe this will be -- drive incremental revenue and earnings for the divisions, but we'll share more at the Strategy Day.
Ben Gilbert : That's really helpful. Rob's carrying on from that, if I could sort of sneak in a connecting questions. Globally, if you look at people are doing really retail media really well and maximizing it, or if I look at Walmart, for instance, arguably, appreciate very different business, but in aggregate, you serve pretty much over in Australia across pretty much the whole house at the moment or from front to back to sort of Bunnings talk in the middle as well. How important is supply chain in terms of feeding into that? Because if you look at Amazon, that's probably pretty close towards $10 billion of turnover this year in Australia, a lot of capacity and well ahead of everyone. Do you need to start rethinking being, I suppose, yourselves are probably the only one that could really match them with CapEx and serve everyone around supply chain and then start bringing 3P to maximize that major opportunity for more. Is that something you're thinking about or is it even on the horizon?
Rob Scott : And is that question -- is your question is not about retail media. It's more about our capacity to keep growing on the digital e-commerce side? Is that...
Ben Gilbert : Yes, and it sort of flowed on because maximizing [indiscernible] because you look at Walmart, it's driving 50% of incremental earnings each quarter, and it's a 3P capability, which builds on supply chain and maximizing eyeballs. And it exponentially increases that media opportunity, but also your reach into people's households.
Rob Scott : Yes. Well, first, I'll answer it a couple of ways, and others could add to it. As I mentioned earlier, we've grown our digital transactions by 5x in the last 5 years. So there's been very significant growth. We are -- but I also wouldn't lose sight of the value of our store networks, the value of store networks in terms of how we engage with customers, the assets that we have, that is critical. Supply chain, I think, once again, also needs to be thought of not just in the context of the distribution centers that we are investing in. And the example we gave earlier in Kmart and Target leveraging the centralized fulfillment centers, Officeworks would arguably have some of the most efficient state-of-the-art e-commerce fulfillment centers in the country. But we shouldn't lose sight of the value and the power of our stores as fulfillment assets in their own right. So we certainly don't feel that we're constrained by our supply chain capabilities. We'll continue to invest in them and grow. But I feel that in terms of continuing to grow our omnichannel business, which is both in-store, Click & Collect, digitally enabled sales more generally, we are certainly not constrained in any way. And in fact, I'd go further to say that I actually think that the quality of our brands, the extensive store networks we have are a point of difference that many of our competitors in this space don't have.
Operator: Your next question comes from Richard Barwick with CLSA.
Richard Barwick : I've got another question on lithium, Aaron. So you've obviously provided a pretty clear view on FY '25 in terms of the way we should be thinking about earnings. But FY '26 is obviously gets a lot tougher to understand because you've got the increased spodumene production, but then also the ramp-up of refining. And so the delta in -- or the potential delta from the earnings impact could be pretty material. Can you just give us a sense of how the earnings might be phased? And what -- ultimately what we're trying to get to is can lithium actually deliver positive earnings in '26? Or is that really only an FY '27 story?
Aaron Hood : Yes. Thanks. So FY '26 is a difficult year as you flagged because you're obviously going from a transition of first product at the refinery. And as I flagged, an 18-month ramp-up period. I think it -- from what we've seen on other -- whether it's our existing operations when we've ramped those up or looking at other refineries, it's probably unlikely to be a linear journey from day 0 to the end of that 18-month period. I think it's fair to assume it's probably more back-ended as you start to make improvement. So clearly, feeding the refinery with spodumene is an unknown at the moment on how we go through that ramp-up period, but I think it is going to be more of a back-ended process along that 18-month journey, which means we're going to -- FY '26 still be selling or required to sell spodumene into the market. So I think we've been fairly open with where we sit on a spodumene front. And clearly, that means in the refinery phase, you're not getting the benefits of those -- that full tonnage on your fractionalization at cost. So it will be challenging in FY '26 to generate profit on the hydroxide side.
Richard Barwick : Yes. Okay. And really, we say it's probably even more likely a second half FY '27 story as well?
Aaron Hood : Yes. I think FY '27 is you're starting to get to a period where the refineries, the bulk consumer of spodumene and we can start to look at where our cost position sits and really start to get the benefits of tonnage.
Operator: Your next question comes from Phil Kimber with E&P Capital.
Phil Kimber : I just wanted to ask a question on Priceline. You mentioned in the strong performance driven by price reductions on key value lines. So I just wanted to get a sense of what you're thinking for that business. Is that going to go up against category killer type prices? And how -- if so, how can you do that in a sort of largely franchise arrangement? That's my question.
Emily Amos : Yes. Thank you. I think Priceline has a clear positioning in the market. We're really focused on value. And value takes a number of forms. It's about competing on these key value lines, which is what we've been investing in. It's also about bringing new and exclusive products to market, and it's about leveraging our extensive loyalty program to bring kind of new and differentiated sort of promotions to the market as well as network growth. So that's the strategy, and that's what we've been pleased with the progress over the last 6 months.
Operator: Your next question comes from Shaun Cousins with UBS.
Shaun Cousins : Just a question for Sarah and Officeworks. So I guess maybe just call out or quantify what the collective costs, say from Box of Books and Circonomy sort of was and how much that weighed on the first half? Does any of that kick into the second half? And then thinking a bit about also just the benefits of range, how -- and I think this was discussed at the Strategy Day, how are you seeing any benefit, if at all, from AI product? Does Officeworks have the service capabilities to sell that and also sell going a little bit more into TVs with a Sony range as well, please?
Sarah Hunter : Yes. Thanks, Shaun, for the question. Look, the cost related to the Circonomy and Box of Books were one-off costs in the first half. And you should think about those as mid-single digits impact to EBT. In terms of range, I look forward to sharing a bit more of our progress at the Strategy Day. But look, we've been really pleased with above-market growth in technology in the first half, and we're excited about the new product launches that will come through this calendar year. So look forward to chatting to you about it at the Strategy Day.
Operator: Your next question comes from Lisa Deng with Goldman Sachs.
Lisa Deng : Just a follow-up on the marketplace, the Bunnings marketplace. Can we talk a little bit about how we're executing it, what we see as potential sort of medium-term opportunity and then the differences potentially in the economics there from potentially lower revenue but higher margin type shape of growth thing?
Michael Schneider : Yes. Thanks, Lisa. Look, we're really happy with our marketplace. It's been growing very, very strongly. We've got well over 100,000 SKUs, heading to 200,000 SKUs and a fantastic array of sellers. We are very disciplined. It's what I would call a curated marketplace. So it fits the strategic framework of Bunnings, if you sort of think about that front gate to back fence. So we're looking for complementary products that our customers are looking for to improve their homes. So it might be in a bedding category or a sporting goods category where we don't think we have a natural ability to sort of service that in a warehouse format. What's particularly useful about our marketplace is that it's built into the broader Bunnings digital ecosystem so you can transact your marketplace product while you're buying your regular products. They will be fulfilled by the seller and we take a commission on the way through. So we look at it really through both GMV, which is starting to become quite a significant number, albeit not material to the overall Bunnings number, but quite significant when you look at other marketplaces. In fact, our growth is probably outstripping some of those, and we're really happy with that. So -- and then that obviously flows through to revenue. We'll continue to sort of build that out, and we're going to expand a little bit Strategy Day on how we want to evolve the marketplace to sort of do other things than simple products but into some more sort of service-oriented stuff as well.
Lisa Deng : I guess broad level, are we thinking that it will be a material contributor to the Bunnings growth going forward? Or is it still a test and learn phase? Are you confident that it will be a material contributor yet?
Michael Schneider : Very confident that it's going to be a strong performer. The materiality will really be a decision for us in terms of how many partners we want to partner with, and we want to make sure that the customer experience is high and that there's nothing in there that dilutes trust. But yes, it's well past test and learn. It's a deeply embedded part of the business. We've got a fantastic team. We'll pick up some capability out of the Catch team as well, which will augment that, and that's a real positive for us. So yes, excited to see where it goes and the materiality question will answer itself in the fullness of time.
Operator: Your next question comes from Michael Simotas with Jefferies.
Michael Simotas : Just on Catch, hoping to get a better understanding of what it looks like in the second half. So you've called out costs associated with the transition and closure of $50 million to $60 million. Is there any stock write-offs included in that number? And the reason I ask is just trying to understand whether you're likely to take significant gross margin hit in the operating loss from the business in the second half?
Anthony Gianotti : Yes. Thanks, Michael. It's Anthony. I can answer that question. So yes, so in the $50 million to $60 million that we've called out, about half of that is noncash, half of that is cash. So we do have provisions in relation to write-down of stock within that one-off cost. So in terms of sort of operating losses, which I guess is where you're getting to for the second half, we haven't given specific guidance, but -- and it will depend a little bit on exactly when Catch closes, but we have said that will occur in the final quarter of the financial year. I think you can probably expect it will be lower operating losses than we incurred in the first half is probably one way to read it.
Operator: Your next question comes from Craig Woolford with MST Marquee.
Craig Woolford : This is very much an accounting question. If I look at Slide 60, which has got information on your lease liabilities, there's a reduction year-on-year in the lease liabilities of Bunnings. There's also one for Kmart and because depreciation and amortization, these days includes the lease component of that. Just trying to understand the outlook there. I noticed that Bunnings had a very small movement in depreciation for first half '25 versus the previous corresponding period. So I'd like to understand why we're seeing a reduction in liabilities and a small delta in the depreciation most of your retail businesses.
Anthony Gianotti : Yes. Thanks. Yes, you'll find that the lease liability will move depending on the minimum lease commitments that we have across various leases. So it will depend on the lease profile and when new leases are entered into. So it will move around a little bit depending on when lease renewals come up. And if there's new leases, what the minimum lease term is. So that's generally what determines how big or small that is. So for example, if we entered into a whole bunch of new leases in a particular period, then that would significantly increase both the asset and the liability. And you'll find that will move depending on basically what the weighted average minimum lease term is over a particular period. So it's probably not that predictable. Obviously, as we continue to open new stores, then, of course, that would generally go up, but it might not necessarily go up in a linear fashion.
Craig Woolford : And is that related to this low increase in the Bunnings depreciation movement half on the previous corresponding period?
Anthony Gianotti : Are you talking about depreciation associated with the lease liability or sorry, the lease asset? Or are you talking more generally around depreciation?
Craig Woolford : Well, I don't think we get further disclosure, but it was $408 million last year, total depreciation and amortization for Bunnings and $411 million, so it was only $3 million.
Anthony Gianotti : Yes. It's only -- it's a very small variance. Yes.
Unidentified Company Representative : It's only renewal. Smaller than one of the --
Anthony Gianotti : Yes.
Operator: That is all the time we have for questions today. We will follow up with any remaining questions. Thank you. I'll now hand the call back to Rob Scott.
Rob Scott : Thanks very much, everyone. And as we said, please contact Dan and the team if there are further questions. Have a good day.
Operator: That concludes our conference for today. Thank you for participating. You may now disconnect.